Operator: Welcome to the Advanced Auto Parts first quarter 2010 conference call. Before we begin, Joshua Moore, Director Finance and Performance Management and Investor Relations will make a brief statement concerning forward-looking statements that will be made on this call.
Joshua Moore: I’d like to remind you that our comments today contain forward-looking statements subject to risks and uncertainties that may cause our results to differ materially. We intend any forward-looking statements to be covered by and we claim the protection under the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address future events, developments or results and typically use words such as believe, anticipate, expect, intend, will, plan, forecast, outlook or estimate and are subject to risks and uncertainties and assumptions including competitive pressures, demand for company’s products, the market for auto parts, the economy in general, uncertain credit markets, consumer debt levels, dependence on foreign suppliers, the weather and other factors disclosed in the company’s 10K for fiscal year ended January 2, 2010 on file with the Securities & Exchange Commission. The reconciliation of any non-GAAP financial measures mentioned on the call with corresponding GAAP numbers are described in our earnings release and our SEC filings which can be found in our website at www.AdvancedAutoParts.com. The company intends these forward-looking statements to speak only as of the time of this conference call and does not undertake to update or revise them as more information becomes available. For planning purposes, our second quarter earnings release is scheduled for Wednesday, August 11, 2010 after market close and our quarterly conference call is scheduled for the morning of Thursday, August 12, 2010. To be notified of the dates of future earnings report you can sign up through our investor relations section of our website. Finally, a replay of this call will be available on our website for one year. Now, let me turn the call over to Darren Jackson, our Chief Executive Officer.
Darren R. Jackson : Welcome to our first quarter conference call. First, I’d like to thank our 50,000 team members for their hard work in getting us off to a great start in 2010. The team has positioned us for another great year both on the top line and the bottom line through a commitment to superior service and simply every day heroics. The combination of strong market conditions and successful execution of our key initiatives drove an 8.7% increase in total sales and a two year comp store sales of 15.9%. We also expanded our gross profit rate by 93 basis points and we generated double digit operating income growth during the quarter. I am encouraged by our continued improvement in our overall customer satisfaction scores while recording a record level 15.9% return on invested capital. Collectively, the strategic and financial progress is evident in our customer experience, bottom line results and our new investment grade rating. As you recall, fourth quarter demand in sales had moderated causing our financial results to be below expectation. This was due in part to our strategic investments, however, our assumption was that these investments would help position us for a strong start to 2010 and they did. Our first quarter of 2010 was one where we outperformed both our financial and strategic objectives. We are realistic that three quarters of the year is ahead of us so we remain focused on our commitment to drive material outcomes with a select group of high intact operating initiatives. To date, we are pleased with the progress of those initiatives including the roll out of our new commercial programs which is now in roughly 50% of our stores and the success of our customer oriented sales training. We continue to make progress on our demand driven labor model and we work to continually improve our order accuracy. Our global sourcing capability has ramped up and we continue to strengthen our marketing program. Jim, Kevin and Mike will provide updates on some of these initiatives later in the call. We are off to a good start in the second quarter. We continue to see positive trends in our industry with the strengthening of our commercial customers as a result of dealer closings. Additionally, increases in both the average age of vehicles and in miles driven aid the trend. These positive signs in our industry combined with our sharper focus on fewer priorities lead us to be upbeat about our outlook for 2010 and beyond. At Advanced our goal is to have a leading customer experience in our industry and to create customers for life. We will get this done with great values, great teams and great character. Here is an example of what great looks like, I would like to recognize District Manager Gary Cox for his role in leading our company. In mid 2009 Gary assumed responsibility for a very challenging market in Texas. Gary’s unlimited optimism and coaching his team turned around the market from negative double digit comps early on to generating positive double digit comps by the end of the year. Through execution of our improved sales and distribution process, Gary’s district saw an increase of almost 10% in overall transactions and an additional 8% increase in average ticket. Gary was recognized as District Manager of the Year in 2009 and maintains top scores for team engagement and customer satisfaction. With Gary it is all about his team, his peers and the values of Advanced Auto Parts. Thank you Gary for leading by example. We have a focused agenda to accelerate our growth and profitability and we remain committed to our core key strategies: commercial acceleration; DIY transformation; availability excellence; and superior experience. I am encouraged with our strong start to 2010 and we are on pace for another successful year. Now, I’d like to turn the call over to Jim Wade, our President to provide a progress update on our commercial and DIY business along with store operations.
Jimmie L. Wade : I want to congratulate our entire time for our great start to the year. I’ll review our sales growth and provide an update on our commercial and DIY strategies. Our total comp sales grew by 7.7% in the first quarter compared to 8.2% during this same quarter last year. That was our strongest two year comp performance in recent history. Our 7.7% comp increase was driven by both an increase in our customer average and in our transaction counts. As Darren mentioned, we saw sequential improvement in the performance of the total markets from the fourth quarter of 2009 to the first quarter of 2010. Our business benefitted from this and our teams responded well by focusing on providing great customer service to every customer who visited or called us. As a result of our team members, each of our three geographic areas generated strong positive comps in DIY and double digit comps in commercial which marks our ninth consecutive quarter of double digit commercial comps in our Advanced Auto Part stores. Commercial now represents 33% of our total sales moving us closer to our goal of 50% over time and truly becoming a more fully integrated service model. With our accelerated growth we continue to gain significant market share in commercial during the quarter though we have a long run way ahead of us with less than 5% market share in the $40 billion commercial market. On our last conference call we renewed our commercial initiatives and our key focuses for 2010. I wanted to give you a quick update on the statuses of those initiatives. Our commercial initiatives focused on what our customers tell us is most important to them. Have the part I need and deliver it to me quickly and accurately every time. We’ve now completed investments in additional parts pros, trucks and drivers in approximately one half of our stores with commercial programs. These stores continue to produce comp store increases significantly higher than our double digit company average. These investments will continue to fuel our growth in 2010 as we look towards extending those investments through the entire chain over time. Also, as we continue to learn more about the potential of each store and each market we’re investing in high performing stores in 2010 by reallocating previous investments where we see the opportunity to increase productivity. Our investments in parts availability are continuing and Kevin will update you on our progress. As I’ve visited our stores our teams are thrilled with our increasing ability to get the right parts in each store based on the specific vehicles in their market. This availability continues to be a fundamental driver of our commercial growth. Raising the overall operational consistency of service to our commercial customer is also a key focused in 2010. We believe this is key to increase the retention of our existing customers while expanding our customer base. Another step in this direction is our new online ordering system which Kevin will update you on. After increasing our commercial sales force by 45% in 2009 we’re focused in 2010 on increasing the productivity of our sales force by developing deeper relationships with our existing customers and developing relationships with our potential new customers. The combination of our dedicated sales force visiting our customers and our store teams providing consistently great service is a stronger driver of growth. In addition to strong sales growth, we’re very pleased that our commercial customer satisfaction scores have continued to increase in 2010 over significant increases last year. Ultimately how our customers feel about our service is the best predictor of our future growth. Our focus in 2010 was on those stores where our customers have given us our lower customer satisfaction rating. As we build our strong commercial brand, we expect every store to provide exceptional service consistently. As we said on our last call, we continue to believe we have the potential to grow this business in double digits for the 2010 year. Now, turning to DIY, we saw strong growth in our DIY business and achieved our fourth quarter of positive DIY comps in the last five quarters. We believe our strong DIY results were driven by the success of our initiatives as well as stronger overall DIY market. We believe the cold and snowy winter, deferred maintenance and an overall decrease in consumer spending factored in to our first quarter DIY results as well. As I did with commercial, I want to give you a quick update on our DIY initiatives and where we are focused in 2010. Our DIY initiatives focus on what our customers tell us is most important friendly and knowledgeable people who can solve my problem are available when I need them and have the part I need when I need it. The parts availability initiatives I described in regard to commercial apply equally with DIY. We’re continuing to increase our availability in 2010. To ensure our customers have team members available when needed, we’re improving the staffing of our stores based on a demand driven model. The upgrades in our staffing effectiveness will continue to be rolled out during the year and are being enthusiastically embraced by our store teams. We’ve increased the quality and effectiveness of our training and development programs for our team members. This includes our on boarding program for new hires, general manager development, product knowledge and related product solving skills and basic customer greeting and sales skills for all of our team members. This is a key focus across our company in 2010 and is critical to us meeting the needs of our customers. The launch of our new B to C website last fall is now providing us additional DIY sales but probably more importantly many customers are visiting our site before making the decision to visit a store to make a purchase. The lack of an eCommerce presence combined with decrease new store openings and increased store closures last year contributed to our inconsistent growth relative to the overall market. We believe eCommerce will be a strong sales driver for us in the future. During our fourth quarter conference call we discussed our marketing strategies to increase the number of customers who come to our stores. We continue to refine our approach to better target both our highest potential customers and our underserved customer segments. This new more targeted approach has allowed us to more than double our marketing effectiveness while keeping our overall marketing spend roughly in line with last year. Our primary sponsorship with Monster Jam which we announced in the fourth quarter is now in full swing as being received well by our customers as well as our team members. We’re very pleased with the returns and progress of our marketing initiatives. Our customer satisfaction ratings for our DIY customers also continued at a high level. With these scores and with the initiatives that we’re focused on, we’re excited about our ability to grow our DIY business while continuing to aggressively grow our commercial business. Wrapping up with new store growth, during the first quarter we opened 43 stores including 11 Auto Part International stores while closing one store. As of the end of the first quarter, our total store count was 3,462 including 167 Auto Part International stores. I want to wrap up by just again thanking our team for a great first quarter. Your commitment to leading inspired teams and providing great customer service continues to produce our strong sales and profit growth. We look forward to the remainder of 2010. Now, I would like to turn the call over to Kevin Freeland, our Chief Operating Officer to review our availability excellence strategy.
Kevin P. Freeland : I would also like to congratulate the team for a strong start to 2010. I’ll take a moment to highlight a few of our many accomplishments during the quarter as well as update you on our initiatives to strengthen our gross profit rate and improve our product availability. During the first quarter our gross profit rate increased 93 basis points versus first quarter of last year. This increase was on top of a 133 basis point increase during the same quarter in 2009. Our first quarter improvement was driven by increases in both front room and back room categories resulting from the rollout of our custom mix and price optimization strategy, the strengthening of our merchandising capabilities and the impact of our rapidly growing global sourcing capabilities. Through our custom mix roll out we’ve upgraded inventories are more than 470 stores during the quarter. This strategy allows us to improve our end market availability of parts and accessories and drives improvements in both sales lift and margin performance. During the quarter sales of hard parts grew at double digit rates and increased roughly 100 basis points as a percent of total revenue versus the first quarter of 2009. This increase in sales mix for hard parts and improvement in category margin rate, the strong contributor to our 93 basis point expansion and total gross profit rate. Additionally, we continue to grow sales and expand our margins and accessories which have benefitted greatly from our new global sourcing capabilities. In the first quarter we continue to make significant progress in increasing our availability through the addition of two PDQs or parts delivered quickly warehouses and three hub stores. The two new PDQs are providing increased service to over 200 stores and brings our total number of PDQs to 29. Additionally, our delivery hub network is now at 157 providing multiple deliveries per day to over 2,100 stores. Despite the significant investments in PDQs, the associated transportation expense and the increased number of hubs, our supply chain costs are down versus last year. This is primarily due to our ability to improve our overall supply chain productivity. I’m encouraged that our eCommerce site continues to go so well. Based on our current trend, we believe our eCommerce business will materially contribute to our DIY business in 2010. We launched a test of our new business-to-business site in Q4 and expect a roll out nationally during 2010. Ultimately, our combined eCommerce platform should prove to be a significant growth engine for us in the future. Our adjusted accounts payable inventory ratio of 68.9% is at an all time high and compares to 59.8% at the end of first quarter last year. This significant achievement was primarily driven by more favorable payment terms and the timing of inventory purchases. We are on pace to achieve our long term goals and expect to see a continued year-over-year improvement in 2010. In the first quarter AI’s revenue grew 18% driven by strong comp sales performance and the net addition of 32 stores over the past 12 months. AI opened 11 new stores during the quarter bringing their total store count to 167. We continue to move at a measured pace to expand AI’s footprint by accelerating new store growth in new markets namely Florida and generate synergies through supply chain integration. Overall, our first quarter was very successful for our team and I’m thrilled by the strategic and financial progress we’ve made through our availability excellence strategy. Now, let me turn the call over to our Chief Financial Officer Mike Norona to review our financial results.
Michael A. Norona : I’d like to start by thanking all our talented and dedicated team members for the strategic progress and fantastic financial results we delivered during the first quarter. I plan to cover the following topics with you this morning: one, provide some financial highlights of our 2010 first quarter performance; two, provide an update on the key financial dimensions of our transformation; and three, link our first quarter performance to the balance of 2010. Before I comment on our financial results I would like to point out that as of this quarter we will only provide consolidated comparable store sales results versus breaking out DIY and commercial comp sales. This change in policy better aligns with our focus on growing our four wall sales by transforming Advanced in to an integrated service model providing parts and accessories to both DIY and commercial customers. In addition, this change is consistent with how our industry reports their comparable store sales. I would also remind you that 2009 includes the impact of store divestitures which decreased diluted EPS by $0.04 during the first quarter last year. I will speak about our year-over-year results versus 2009 on a comparable operating basis excluding the impact of the 2009 store divestitures as that provides a more transparent and relevant comparison. We have provided GAAP financials as well as comparable operating results in our earnings release. Turning to our first quarter earnings per diluted share of $1.19 with $0.17 favorable to last year representing a 17% increase in EPS excluding the $0.04 impact of store divestitures. This was on top of last year’s 19% EPS increase. On a GAAP basis EPS was $0.21 favorable to last year. Some highlights for the first quarter include a 7.7% comp store sales increase which was fueled by strong positive comps in DIY and our ninth consecutive quarter of double digit gains in commercial. This was on top of an 8.2% comp during the same period last year which represented our most challenging quarterly comp store sales comparison. During the first quarter our gross profit rate increased 93 basis points versus last year primarily due to continued investments in pricing, merchandising capabilities, parts availability and an increase in direct sourcing. The 93 basis point increase was on top of 133 basis point gross profit rate improvement during the first quarter 2009. Our SG&A rate during the quarter increased 68 basis points excluding the impact of store divestitures. The 68 basis point increase was driven by the annualization of last year’s commercial investments in over 500 stores, eCommerce and strategic capabilities such as global sourcing. This was partially offset by leverage on occupancy expenses as a result of our 7.7% comp store sales increase. Overall, SG&A dollar growth was in line with what we expected and what we communicated on our fourth quarter conference call after adjusting for the higher variable expenses as a result of the better than expected comp store sales growth. On an SG&A per store basis, more than 75% of the dollar growth was driven by 2009 expense annualization and by variable expenses while less than 25% of the growth in SG&A dollars per store was driven by new investments. Free cash flow for the quarter was $262.9 million which represents a 31% increase over last year. This increase of $61.5 million was primarily driven by improvements in inventory management, a record high accounts payable ratio of 68.9% and our strong operational performance which increased net income. As a result of our strong free cash flow we were able to repurchase approximately 6.9 million shares of our stock or 7% of our shares outstanding for $287.7 million at an average share price of $41.62. We now have $212.3 million remaining under our $500 million share repurchase authorization. We have previously stated that we would be opportunistic with share repurchases based on valuation and given we trade at a surprising 20% EBITDA multiple discount to our peers we felt the timing was right to repurchase our shares given our view of the future. We believe in our company’s ability to create long term shareholder value and this repurchase shows our confidence. On April 29th we announced the closing of our $300 million senior unsecured notes offering with a 5.75% coupon due in 2020. This transaction was important for Advanced as it provides us a more stable long term capital structure that aligns with our growth strategies and allows us to further diversify our debt stakeholders. With these funds, we plan to fully repay our $200 million term loan set to expire in October 2011 and the $75 million of borrowings on our revolving credit facility. This will also enable us t increase funding for supply chain financing as some banks will allocate capacity to supply chain financing to offset the reduction in bank debt. We believe that this will help accelerate our ability to improve our AP ratio over time. This note offering will result in incremental interest expense given our existing swaps which we entered in to three years ago, do not expire until October 2011. I will quantify this interest impact for 2010 later in my remarks. In April, we were upgraded to investment grade status by Standard & Poors. This was an important milestone and an accomplishment for our company and we are particularly proud of this upgrade because we believe it is an independent assessment validating our strong operational and financial performance, solid operating cash flows and strong financial metrics. As you know, we have been working diligently to provide the investments necessary to accelerate the growth of Advance while ensuring we generate solid returns on these investments. We have publically committed to grow both our top line and bottom line while strengthening our balance sheet to ensure we have a strong foundation to grow well in to the future. We remain committed to maintaining our investment grade metrics and managing our rent adjusted leverage ratio to a maximum 2.5 times. At the end of the first quarter, our leverage ratio was 2.2 times. As we have previously shared, our strategies position the company to accelerate growth, improve profitability and drive shareholder value. These three dimensions will continue to be how we measure the path ahead and our performance thus far shows we are trending in the right direction. Turning to growth, we are pleased with the 4% improvement we made in sales per square foot on a trailing four quarter basis through our first quarter 2010. In addition, we continue to lead the industry in sales per store which has grown to approximately $1.6 million representing a 4% increase on a comparable trailing four quarter basis. Turning to profit, we are pleased with the 93 basis point gross profit rate expansion in our first quarter and our 226 basis point increase on a two year basis. We expect the investments we have made in our capabilities and infrastructure will drive continue operating income expansion through further gross profit, expansion and more moderate SG&A dollar growth. Turning to value creation, we are pleased with our 31% increase in free cash flow in our first quarter and improvements in our balance sheet driven by effective working capital and inventory management. We continue to demonstrate our ability to generate strong incremental returns on our investments as evidenced by our ROIC which at the end of the first quarter was 15.9% representing 130 basis point increase from last year. Looking ahead, we expect to leverage the strong financial platform we have built along with our recent upgrade by S&P in to continued growth in economic profit. For the balance of the year we are on track to open approximately 150 new stores for both Advanced and Auto Part International brands and we remain on plan with respect to our investments to grow our commercial business and to improve our DIY sales performance. We are pleased with the strong start as the market performed higher than we expected and our execution was solid. While we are optimistic for the full year, we remain pragmatic and do not anticipate that the two year trends will continue at this Q1 pace. We remain focused on delivering and executing on our original plans for this year that we shared with you on our fourth quarter call and that were built in to our 2010 outlook. During our fourth quarter earnings release we provided an annual outlook which included an estimated 2010 operating EPS range of $3.20 to $3.40 per share. This annual outlook was based on operating performance only and did not include share repurchases or the impact of the recent notes offering. The favorable impact of our share repurchases partially offset by the recent notes offering will add a net incremental benefit of approximately $0.14 to our full year EPS of which we realize $0.04 in our first quarter results. In closing, we are very pleased with our strong start to 2010. As Darren mentioned, we remain committed and focused on our four strategies that are allowing us to build a differential service model to serve both our DIY and commercial customers. We are encouraged by our investment grade status and will be working aggressive to make sure we maximize the benefits associated with this. Again, I would like to thank all of our talented team members who are passionately leading us through our transformation and who have truly helped our company reach new heights. Operator, we are now ready for questions.
Operator: (Operator Instructions) Your first question comes from Dan Wewer – Raymond James & Associates, Inc.
Dan Wewer – Raymond James & Associates, Inc.: You had noted that your commercial market share continues to increase, I recognize that you’re not breaking out your do it yourself performance but in looking at your growth can you determine whether or not you grew market share in the do it yourself channel?
Jimmie L. Wade : In total I think as we look at our overall market share, we’re pleased with where we are and as you commented, in the commercial area with the growth we’re seeing significant share increases. I think when you look at the DIY share, we’re still cycling some of the things related to us opening fewer new stores and closing stores last year to a greater extent than certainly our competitors so we’re working on it, we haven’t cycled through that. I think the most positive indicator we have in that regard though, as we’ve looked at market share, our existing stores are actually gaining share and gaining productivity which I think goes to the health of our business and to the health of the initiatives that we’re rolling out.
Dan Wewer – Raymond James & Associates, Inc.: Jim, related to that, I believe a year or so ago you gave a figure that about 10% of your store base was generating sales per square foot under $100, I think about 10% were in excess of $300 but in looking at those underperforming stores do you have any sense of what part of the store base that represents today?
Judd Nystrom : Mike referenced last year that our performance of the bottom 10% was below $100 per square foot and the performance of our top 10% was above $350 per square foot. That still holds true. With some of the 10% that fell in to that category is actually new stores. We have new stores that we opened that are starting to grow their average volume up. Some of the stores that were underperforming were actually part of our store divestiture program last year and we closed those stores of which there were about 45 in total.
Jimmie L. Wade : Virtually all of the stores that we took out last year in the store divestiture program were below that $100 a foot mark or darn close to the water line is no longer 10% it’s something less than that. We can follow up on that but that was one of the principle focuses in terms of last year, cleaning that up and the related cash flow drag that went to those stores.
Operator: Your next question comes from Anthony Cristello – BB&T Capital Markets.
Anthony Cristello – BB&T Capital Markets: As noted on the commentary that the increased growth in SG&A per store was 75% related to 2009 annualization and the variable portion about 25% from new investments. Is that 75% more related to the timing of when those investments were made in 2009 or is there something else that we should sort of point to?
Michael A. Norona : No, you’re exactly right Tony. The numbers I quoted in my remarks roughly 75% of our growth in dollars were due to annualization primarily driven by commercial and areas like dot com. Let me give you an example, we did over 500 stores last year after Q1 that are now annualizing. Then last year we had one person in dot com at this time last year and now we have almost 50. So it’s primarily the annualization and then the other piece of it is the variable expenses from the higher sales that we drove.
Anthony Cristello – BB&T Capital Markets: Then just as a follow up then, if you look at the 25% related to new investments, is there a way that you could then tie that 25% of new investment in terms of then how your overall progress is on ongoing initiatives? Are you 25%, 50%, 75% of the way through that? I mean, is there a way you can sort of point to saying, “Hey we have now only contributing 25% to new but we’re 50% of the way through in terms of progress made?”
Jimmie L. Wade : I’ll answer at least part of that question, I think as we look at the investments we talked about in our previous comments in regard to the commercial way process and for example, we crossed the half way mark in those investments and we’re pointing out we’re starting to look at the productivity of those investments and making sure we’re having them in the right stores as we’re planning to over time extend those through the entire organization. But in regard to a lot of the initiatives that are being executed in the field, we’re in a phase now where there are not many new investments, we’re really focused on the operational excellence around the investments we have rolled out. We talked about things like the staffing program and some of the other things that we’re doing at the field level so we’re moving from a point where there was lots of new investments that we were making to we’re really focused on driving productivity of those investments. 
Kevin P. Freeland : Two other major categories would be Mike just mentioned on eCommerce, we have put essentially the resources in to be able to develop B to B and B to C sites and you’re seeing the costs of those, they are rapidly scaling at this point from a sales perspective but essentially consistent in terms of an SG&A perspective. The same would be true on global sourcing. We have put in what would be the infrastructure required to support that and you’re seeing the reflection of that in the SG&A but those programs are growing at a dramatic rate.
Darren R. Jackson : Tony, I guess we want to reiterate what we said at the beginning of the year, everything that Jim just said and Kevin just said goes back to exactly what we said at the beginning of the year and that story hasn’t changed at all in terms of our investment profile for this year.
Operator: Your next question comes from Gary Balter – Credit Suisse.
Gary Balter – Credit Suisse: A question on the payables, you now have investment grade for the company and we’ve watched Auto Zone use that benefit in working with suppliers to get close to 100% financing on the payable side and you had a nice jump this quarter. What should we be thinking about from a cash flow perspective going forward?
Michael A. Norona : I won’t take you out any further than this year Gary but I will talk a little bit about our AP ratio. We are very pleased with the progress we’ve made. If you remember last year we jumped from about 57 to 61. What I said in our Q4 call is we believe we can see that same kind of increase this year, roughly we think we’re going to end around the 65 range. The 68.9 was just an outstanding quarter for us and just a tremendous accomplishment to the team members working in our merchandising group partnered with our finance team. Investment grade, you hit the nail on the head, one of the benefits of investment grade is when you actually get the opportunity to get more funds and at cheaper rates and that has increased our capacity that we’re building for the supply chain financing program and then in partnership with Kevin Freeland and his merchandising group, they are working closely with the vendors and looking for all the opportunities. But, we see a great pathway to continue to grow our AP ratio. In the short term we believe we’re going to get to 65 this year and out further we see a lot more opportunity. It’s not out of the realm to get to 70, to get to 75 and we feel real positive about that.
Gary Balter – Credit Suisse: You probably covered some of this on the call, I apologize I sat out for one minute but the price optimization, as you’ve rolled that out have you found any where you’ve had to somewhat roll it back or you have actually a lot more opportunities in certain categories than you thought?
Kevin P. Freeland : The predominance of what you’re seeing reflected in the margins that we’ve had over the last several years is on the DIY side and in the front room. We have two programs in there, if the products are insensitive to price moves it is driven by price optimization. If it’s sensitive to price moves it’s essentially benchmarked off our key competitors so we’re in the enviable position that we are essentially priced to market on all of those sensitive areas which we had not been in the past and seeing increased gross margin on the balance of the business. What we’re looking at forward, is throughout the course of this year, we’re rolling out that capability to the parts portion of the DIY business and we aspire in future quarters and in future periods to move what we’re learning to the commercial side of the business.
Operator: Your next question comes from Matthew J. Fassler – Goldman Sachs.
Matthew J. Fassler – Goldman Sachs: My first question is a follow up I guess to the SG&A question, you gave that 75% 25% breakout 75% being the combination of annualization of last year’s investments and incentive compensation. Could you break out within that 75% the roll of annualization versus variable expenses?
Michael A. Norona : Yes, I’ll give you just a ball park. On the total, just on the total the variable of the growth was roughly 40% of the growth. So I think if you look at the dollars it was about $70 million over last year, 40% and you can do the math on the rest.
Matthew J. Fassler – Goldman Sachs: And presumably you had some variable baked in to your plan for the quarter though not as much as you ultimately booked given your strong performance.
Michael A. Norona : That’s right. 
Judd Nystrom : Matt, can I just build on something you said? You mentioned incentive comp, last year we deleveraged incentive comp as we put the new bonus program in, however this year we actually saw a little bit of leverage in terms of our incentive compensation.
Matthew J. Fassler – Goldman Sachs: So the dollars were up but as a percent to sales you’re saying they were down to some degree?
Judd Nystrom : They were modestly down, yes.
Matthew J. Fassler – Goldman Sachs: My follow up is just a quick check up on two programs that you updated us on, one was custom mix and the other was the enhancements to commercial and I think Kevin gave us the number of stores, maybe Kevin and Jim gave us the number of stores that were added to each of those programs. Could you now update us on what percentage of the chain or what percentage of the ultimate number of stores that are going to get these programs have had them introduced and kind of how much there is to go for each of these initiatives?
Kevin P. Freeland : Matt, I’ll take the custom mix side of it. The custom mix tool is essentially evolving in its logic and we’re continuing to find opportunities to grow sales and to improve inventory turnover through those enhancements. So you could essentially say that in its first incarnation we have largely canvassed the chain. But, as the enhancements are coming on line you’ll see us continuing to report rolling this out further across the chain and having an additional positive impact on the company. Jim can walk you through the commercial changes.
Jimmie L. Wade : Matt, I mentioned earlier in regard to the investments in the commercial programs we’re half way through the investments. Across the chain I think right now about 89% of our stores have commercial programs. We don’t see that changing significantly but over time we’ll continue to upgrade the remainder of the stores. In the meantime, investments like the sales force for example, we mentioned in our comments that we increased the sales force significantly last year, about 45%, this year we’re close to where we need to be in that regard, we’re not making additional investments in people but we’re making investments in being able to increase the tools they have and increase the productivity of our visits and those kinds of things. So across the chain the stores are benefitting from different commercial investments that we’ve made. Certainly, the parts availability piece has been huge to our commercial growth and as Kevin mentioned, that continues as well.
Operator: Your next question comes from David Schick – Stifel Nicolaus & Company, Inc.
David Schick – Stifel Nicolaus & Company, Inc.: My question would be on the direct sourcing and global sourcing, you mentioned it last in your order of gross margin drivers but you mentioned it as significant in accessories. I just wanted to first clarify was that a proportional mention in gross margins so is it the smallest of just those that you talked about?
Kevin P. Freeland : The answer is if you look at the size of that program and what we have learned as we have began shopping those programs is that it has been a nice improvement in the quarter but the lion’s share of that story has yet to be told. We are scaling that as rapidly as is prudent but that’s a program that’s going to take years to fully materialize. 
David Schick – Stifel Nicolaus & Company, Inc.: Then just a follow up on DIY, was there any big discrepancies between geographies given some of the weather that played out?
Jimmie L. Wade : One of the things we were pleased about in the first quarter, our team as we talked about earlier, our team did a great job with the additional customer count we saw and we had significant increases across the areas and not a significant difference between the areas.
Operator: Your next question comes from Colin McGranahan – Sanford C. Bernstein & Co.
Colin McGranahan – Sanford C. Bernstein & Co.: I just wanted to come back to commercial sales firstly, in the fourth quarter you talked about how you felt you had done a great job acquiring new customers but maybe not as great a job keeping them. I’m hoping you could maybe talk a little bit about some of those earlier markets that you made investments in, how the trend looked between the fourth quarter and the first quarter and what changes you made as you went back in and refocused on those markets and how that played out?
Jimmie L. Wade : I think we’re in a process there that we’re making good progress on but we have work to do. We said that I think on our previous calls. Over the last couple of years we put a lot of the basics in place and that’s what we’re focusing on, the basics of what our customers are asking from us, having the part, fast delivery, the accuracy, those kinds of things and we have seen some obviously significant sales growth opportunities in comps over the last couple of years and as we continue to progress through the whole commercial acceleration strategy, certainly a big part of our focus right now is on better identifying who our best customers are, ensuring that we’re continuing to grow the business with those customers. We certainly learned a lot as we continue to roll out additional markets through the last two years and we’re seeing progress but I think that’s one of our big opportunities going forward, continuing to reduce the number of customers that might be buying less from us than last year and that will be a key driver of our commercial sales growth as we go forward.
Colin McGranahan – Sanford C. Bernstein & Co.: Then just a follow up for Mike, I think I must have missed it but what was the commercial comp again?
Michael A. Norona : It was double digits Colin.
Colin McGranahan – Sanford C. Bernstein & Co.: Well, is commercial an important strategy for the business.
Michael A. Norona : Yes it is.
Colin McGranahan – Sanford C. Bernstein & Co.: Is there a significant variance between your commercial comp and your DIY comp? [Inaudible] disclosure about a very significant strategy for improvement to shareholders, I’d just say as an advocate for investors I think it’s not really helpful when you’re not providing disclosure on what’s an important strategy for the business where there is a significant variance between the two businesses that you operate in.
Michael A. Norona : Colin, thank you very much for that comment. A couple of things, the past two years we’ve been working to build an integrated service model and commercial is a key driver of our growth, make no mistake about that. I think Jim in his remarks made it very clear that we were very pleased with our strong and our ninth consecutive double digit growth in commercial. That said, what we’ve done is really just align what we’ve done with our comps with industry practices and also I’m also supporting what you said is we had strong commercial comps.
Colin McGranahan – Sanford C. Bernstein & Co.: But whose industry practices? Auto Zone gives us commercial dollars every quarter. 
Darren R. Jackson : And we give you the percentage of that business Colin and you can calculate the dollars.
Operator: Your next question comes from Alan Rifkin – Bank of America.
Alan Rifkin – Bank of America: A question for Jim on the commercial sales force, Jim any sort of color that you could provide on like the number of accounts per sales person that you’ve added and how does that compare to the corporate average? Basically just trying to see the efficiency in which some of these new sales people have been successful at signing up incremental accounts?
Jimmie L. Wade : We don’t want to get in to that level of detail in terms of the specifics. I will tell you that the sales force is a critical component of our overall commercial growth. I think when you look at commercial it’s got to be a combination of talented sales force that is going out there and continuing to develop relationships with existing customers and focusing on the key places where we can go to get new customers that best meet our model. Then at the store level being able to continue to build that operational consistency that every time the customer calls we’re able to first of all have the part and be able to get it to them quickly and accurately. It’s an overall plan, we certainly internally track lots of metrics about the numbers of visits and which customers we’re focused on and all those kinds of things with the sales force and we’re pleased with the sales force, the job they’ve done this past year and they’re a key part of why we have such a strong commercial comp again this quarter.
Alan Rifkin – Bank of America: Jim, in terms of your goal to take the 33% presently up to 50% of corporate revenues over the longer term, is that predicated more so on an increase in average ticket from existing commercial customers or is that predicated more so on additional accounts?
Jimmie L. Wade : Obviously it will be both. We still have a tremendous opportunity to gain additional share of wallet from our existing customers. When you look at where can you make the biggest impact the fastest it’s continuing to grow that business with our existing customers and we have the tools today to know which customers have the greatest potential and those kinds of things. At the same time, we are and will continue to target new customers in the markets around our stores and that will be a key component of our growth as well over time.
Operator: Your next question comes from Scott Ciccarelli – RBC Capital Markets.
Scott Ciccarelli – RBC Capital Markets: Can you guys talk about changes in conversion rates and maybe the gap that we have between the top 10% to 20% of your base and the bottom 10% to 20% of your base? It seems to me this has been a primary focus and what I am trying to figure out is how large is that gap number one and number two the improvement that we’ve seen at least in the DIY area here, how much of that is by converting more of the traffic versus getting incremental footsteps in the door?
Jimmie L. Wade : When you look at the first quarter we saw increases in both our transaction count as well as the average transaction sales to those customers. When we look underneath that we’re doing a lot of things to measure conversion across our stores. We’ve introduced a lot of new tools in stores to help us measure what our conversion level is so we can at least have an overall understanding of the progress that we’re making. The key things that we’ve touched on is in terms of just driving that conversion once we have the customers in the stores is obviously making sure we have the parts and Kevin talked about what we’re doing in that regard, getting the right team members at the right time in the stores so we know what our customer traffic is at each store and staff accordingly. I think we’ve made substantial progress in that this year so far and we’ll continue to do so. Making sure that the team in the stores have the training and developing to ensure that they can solve the problems of the customers. So we’ve identified generally what our conversion opportunity is, we’ve identified what the key places that we can focus on to increase that conversion and then that’s what the initiatives that we have that are helping us grow the outlying business.
Scott Ciccarelli – RBC Capital Markets: But Jim or Kevin, can you give me an idea regarding what is that gap between let’s call it the top performing stores and the bottom performing stores?
Darren R. Jackson : Today we have traffic counters in several hundred stores. I would tell you this, we have been in an R&D proof of concept on that. That data has to stabilize a little bit. I’m not uncomfortable sharing with you, I could tell you top and bottom so like everybody else in the industry what we can see is transaction counts and what we d have is feedback from our stores. I would tell you that this is the best transaction increase that we’ve seen in terms of principally driven by footsteps since I’ve been here and we’d probably have to go back a couple of years as a company to see the level of footsteps increase that we saw in the store. What I can do is tell you conversion rate went from 88 to 90 in the quarter on the top and the bottom at this point. We hope to do that at some point, we’re just not convinced that spending the money at this point before we can get clarity that we’re getting real good traffic counts makes sense.
Operator: Your next question comes from Mark Becks – Longbow Research.
Mark Becks – Longbow Research: You mentioned occupancy leverage in the quarter, I was hoping you might be able to quantify where payroll came in at or at least talk about any sort of benefits that you’re seeing from the demand driven models at this point?
Michael A. Norona : Maybe I’ll start, we were actually very pleased with our labor productivity in this quarter. In terms of – you know one of our largest expenses that sits on our operating statement is labor and as we’ve said we’ve added a lot of labor, primarily investments in commercial and that’s where we’ve seen a lot of the leverage. However, as Jim mentioned earlier, our existing stores are performing very well and one of the things that I was pleased at during the quarter is the leverage we saw based on the plans we’ve set with the higher sales. 
Jimmie L. Wade : The only other thing I would say is as we saw the increased sales go through the quarter, the team was able to deploy the labor in the right places and enable us to do that additional volume with very little investment in labor at all. I think a big part of that was being able to have it at the right place and take advantage of some of the initiatives that we’re focused on.
Mark Becks – Longbow Research: I know you don’t want to provide any particular quantitative numbers behind the comps but I was hoping you might be able to give a little bit of color on within commercial and DIY, what sort of difference you’re seeing with the DIFM program, the variance through the stores that have gone through that conversion? Then also, within DIY what sort of benefit you’re getting from the eCom?
Jimmie L. Wade : As far as the commercial is concerned, again not giving you specifics, we’ve said in the call that there is a significant difference between the two groups of stores, ones that have gone through it and ones that haven’t. Having said that, the ones that haven’t also showed strong growth. I think what we’ve seen as we roll out the investments is we’ve seen an accelerated comp growth in those stores, that’s leading to a significantly higher average sales per store in those commercial stores and as we go back and continue to do those investments we have the same opportunity in the stores that haven’t gotten the investments yet. But, the point I would make is even with the stronger comp growth in the sores that received investments, we’re seeing strong growth in those other stores as well based on where they are in the growth period. 
Kevin P. Freeland : Mark, in terms of the eCommerce investments, the eCommerce business we view it as being broken out in two different places, how does it drive customers in to our stores and how do we transact on the site. The predominate impact we believe is actually driving customers to our stores and the single most common thing that someone does after spending time on the site and researching products is to request directions to a nearby store. So we believe that is something that we’ll never fully be able to quantify but as the prime impact of the site. That all said, we set expectations for the year on the B to C side that would be a dramatic improvement over what we had historically seen and we are materially above those numbers. On the B to B side, we are early in that deployment and the percentage increases are obviously coming off of a small base but are surprising and we are delighted as to what that is going to look like as it rolls out across the rest of the year.
Operator: Your next question comes from Kate McShane – Citigroup.
Kate McShane – Citigroup: Besides the weather impact on comps this quarter, is there anything that you anticipate will be different between this quarter and the following quarters just because you’re going up against much easier comps than you did in the quarter last year?
Darren R. Jackson : I think that’s a great question. We think about that a lot. I think we were here last year talking about a great first quarter too and the need to just accelerate all the investments and to be candid I think it was a little bit of head fake and when I think about the balance of the year the thing that is different this year is we remain focused on those initial investments we talked about and driving it deeper in to the organization. In part, because we’re trying to access – it’s part of the seasonality of the business changing in terms of what we saw in the fourth quarter was both a little bit of moderation in our business and others. What we saw earlier, and there are a few of us who have reported, there is clearly a pick up partly weather related, partly seasonality in terms of how the consumer is architected financially these days. I think our view is that clearly that there are things in the industry and I’ll tell you one that we’re now going to anniversary some better gas prices as we go in to the second and third quarter which his helpful. We see miles driven picking up again so we think that’s good. We can see the impact, we can’t give you the specific math on some of the dealer closings that are out there, the average age of cars, all bode well for industry specific. I think in the end weather evens out, it absolutely evens out over the course of the year. What may be changing and shifting a little bit is some of the seasonality in the business between periods like Q4 and Q1. We’ll be a lot smarter 90 days from now to understand that seasonality question too based upon how things are unfolding.
Kate McShane – Citigroup: Then my follow up question is on DIFM and I think the last time you spoke with us Darren you had said that DIFM sales per store were around $500,000. Has there been any notable change to this number?
Darren R. Jackson : Mike, do you have the specific number?
Michael A. Norona : We hate to give exact numbers out but we’re in the range of $530,000 to $540,000 now and I think the last time we were just in the high $400,000s so we continue to make progress on the average. Again, that’s on the average, the actual stores that we’re touching are significantly above that. We see a lot of opportunity and again, it ties back to our investments we’ve invested ahead and we believe we’re going to see continued sequential improvement in that metric. 
Operator: Your final question comes from William Truelove – UBS Investment Research.
William Truelove – UBS Investment Research: I have a question about commercial again, in terms of the commercial, the growth there how much is coming from new commercial accounts relative to say the order size at the existing customers that you have is my first question? My second question goes to when you broke down the SG&A growth of 75% the annualization, the 25% the increased investments, that variable expense with higher sales how does that compare with the deleveraging that would happen to your rent? So if you get higher sales going forward is it going to be a neutral basis offset with the rent leverage or how should we think about that?
Jimmie L. Wade : On the first question regarding commercial, when you look back over our business the last few years, there’s a lot of customers who we’re doing business with, some of which we were doing a lot, quite a few more that we weren’t doing very much of so when you look at where’s our increase coming from, the largest part is coming from existing customers but those existing customers may not have been spending much with us a year or two ago but we did have the relationship. So as we’ve added the investments and the parts, we’re able to grow that share significantly faster.
William Truelove – UBS Investment Research: The second question, when you broke down the SG&A growth you said 75% is the annualization of 2009, I get that. Then the 25% of the increase was related to variable expenses associated with higher sales. So what I was trying to figure out is, as sales go up usually obviously you’re leveraging rent and you seem to have a deleveraging of your new expenses so for the remainder of this year as sales grow, of this 25% kind of additional amount, is it going to be – what’s the balance between the rent leverage and this additional expense leverage?
Michael A. Norona : Let me clarify because you may have misunderstood what we said. What we said this year, and it played out in the quarter is that 75% of our growth this year will be in variable an annualization. That played out in the quarter. So said differently, of the $75 million that we grew, roughly 75%, a tad over, was variable and annualization. The 25% is in new investments i.e. commercial, growing dot com, global sourcing.
Operator: That’s all the time we have for questions. I would now like to turn the call back to management for any final comments.
Joshua Moore: Thanks to our audience for participating in our first quarter earnings conference call. If you have additional questions, please call me at 952-715-5076. Reporters please contact Shelly Whitaker at 540-561-8452. That concludes our call.
Operator: Thank you. That concludes our call today. You may now disconnect. Thank you for joining us.